Operator: Good afternoon, ladies and gentlemen. Thank you for standing by and welcome to the PTC 2017 First Quarter Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for question. I would like to turn the call over to Tim Fox, PTC's Vice President of Investor Relations. Please go ahead.
Tim Fox: Good afternoon, thank you Sarah and welcome to PTC's 2017 first quarter conference call. On the call today are Jim Heppelmann, Chief Executive Officer and Andrew Miller, Chief Financial Officer. Today's conference call is being broadcast live through an audio webcast and a replay of the call will be available later today on our Investor Relations website. During the call, PTC will make forward-looking statements including guidance as to future operating results. Because such statements deal with future events, actual results may differ materially from those projected in the forward-looking statements. Information concerning factors that could cause actual results to differ materially from those in the forward-looking statements can be found in PTC's Annual Report on Form 10-K, and other filings with the U.S. Securities and Exchange Commission, as well as in today's press release. The forward-looking statements, including guidance provided during this call, are valid only as of today's date, January 18, 2017, and PTC assumes no obligation to update these forward-looking statements. During the call, PTC will discuss non-GAAP financial measures. These non-GAAP financial measures are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures can be found in today's press release, made available on our Investor website. With that, I would like to turn the call over to PTC's CEO, Jim Heppelmann.
James Heppelmann: Thanks, Tim. Good afternoon, everyone, and thank you for joining us. Before I jump in at the quarterly results, I’d like to take a moment to congratulate Tim and his investor relations team on the award they have received in November from institutional investor who named PTC as the best IR Company in midcap [ph] software. I certainly appreciate the great work that Tim and his team have done under Andy’s direction to ensure that our investors understand our business as we go through our subscription transition. Based on the boarding results, it appears that many of you feel the same way. So thank you for your support and congratulations to Tim and the team. Coming back to the quarter then, our Q1 results represent a very strong start to FY 2017 and continue the momentum we built over the last year. In Q1, we executed very well across our key strategic and operational objectives. Bookings of $90 million were $10 million or 13% above the high end of the Q1 guidance range we provided last October. We had particularly strong IoT results, but also solid execution in our solutions business as well. On the subscription front, the 65% subscription mix for Q1 was well above our guidance of 55%. Both bookings and mix benefited from an IoT subscription megadeal, but even without this deal bookings and mix would perform well compared to their guidance. We’ll provide additional details on a subscription transition throughout the call but suffices to say our program continues to gain traction in the market. Once again the strong subscription mix in the quarter had the effect of dampening our reported revenue results and this was further exacerbated by significant currency headwins. Nonetheless, Q1 revenue, operating margin and EPS were all within our guidance ranges. Infact, had our subscription mix been the 55% that we guided to our revenue margins and EPS would have been well above the high end of their respected guidance ranges. All-in-all this was a strong start to the year. To summarize our progress this past quarter, I will again frame my discussion around the three key initiatives that we focus how to maximize long-term shareholder value. As a reminder, they are first to increase our topline growth, second to continue our margin expansion and third to convert to a subscription business model. Let me start by discussing progress against our growth ambition. As we outlined during our financial outlook webcast last November, our goal is to achieve sustainable double-digit growth by having our core business return to mid single digit growth consistent with the more mature CAD, PLM market while having our IoT business grow in the 30% to 40% range consistent with the fast-growing IoT market. The combination would create low double-digit overall growth for PTC. So against that goal, Q1 was another outstanding bookings quarter with year-over-year total bookings growth of 31% reflecting strong execution in both parts of the business. In IoT, we had a record bookings quarter, growing many times faster than the market. Expansions accounted for over half of our bookings. We more than doubled the number of six figure deals, primarily driven by expansions and we had one large deal the find is greater than 1 million and one mega deal the find is greater than 5 million. Even if you exclude the mega deal and exclude Kepware, which was not in Q1 of last year, bookings were up over 90% more than double market growth rates. I think this clearly demonstrates the value that customers are deriving from IoT initiatives even though these customers are generally still in their early days of their IoT journeys. It also provides a quantitative basis for the numerous industry analyst reports and awards that consistently positioned PTC as a strong leader in the IoT software platform market. Last quarter, I discussed the launch of ThingWorx studio pilot program which enables prospective customers to engage with this powerful new tool for authoring and publishing augmented reality experiences. Studio blends PTC's AR, IoT and CAD visualization and illustration technologies to overlay important digital insights gained from IoT and analytics on to your view of the physical things you are working with. Starting the quarter we had more than 500 industrial companies participating and during the quarter we added another 500 companies to the pilot program. These large numbers speak to the growing interest in AR across industrial enterprises. ThingWorx is the only IoT platform that allows customers to author user experiences using web, mobile and AR technologies and of the three, AR is the most powerful, and we believe, over time more and more companies want to head in that direction with their IoT applications. As a proof point of customer interest, some of you may have noted how we helped our partner GE to deliver a very impressive AR based keynote demonstration at GE’s mines and machines event in October. This demo, a replay of which you can access via our investor website showed a GE locomotive engine going through an optimized service process. PTC and GE created the demo together using both Predix and ThingWorx for Predix technology that we announced at the show. ThingWorx for Predix is a configuration of ThingWorx that connects the Predix inorder to gain access to information about connected access like the locomotive so that users can quickly build web, mobile and AR based apps to interact with such an asset. We are excited because this approach allows both parties to further expand the successful relationship we’ve developed together. From a technology, strategy and market leadership perspective, I’m delighted to see PTC continue to gain recognition across the industry. In their November wave report on IoT platforms, the top-tier analyst firm Forrester Research identified PTC as having the most complete IoT platform offering on the market, positioning us squarely in the leadership category next to some impressive names like IBM, GE and Microsoft, the latter to whom we view as partners. Likewise just this past week, we were placed in the IoT leadership quadrant by the Experton Group for the second year in a row. Then at the big CES show in Las Vegas, PTC was named the industrial Internet of Things Company of the year by IoT Breakthrough, which is an international organization that identifies the best IoT products and companies in the industry. Chosen from over 2000 nominations by an independent panel of journalists, analysts and technology executives, PTC was selected for having the most creative and technologically advanced products and services and for delivering breakthrough connected technologies to the market. To sum up on the IoT front, we believe the clear leadership and market momentum we have established were once again validated by our very strong Q1 performance and we look forward to providing further insight into our IoT business during our IoT focus webcast plan for later this quarter. Stay tuned for more details on that. Turning now to the performance of solutions business, improved operational execution once again drove solid Q1 results. CAD led the way with double-digit bookings growth, primarily driven by strength in Europe and strength in the Americas channel where go-to-market initiatives launched in fiscal 2016 are beginning to bear fruit. Solid POM bookings benefitted by another strong quarter for Navigate, which is under our – which is a ThingWorx-based PLM offering launched in early fiscal 2016. As a reminder, Navigate provides a broad range of enterprise users with expanded access to the digital design content traditionally held captive within the customers' engineering departments. A great example of Navigate’s growing traction in the market is the Q1 deal we signed with Radiant [ph] which many of you know is a long time strategic PTC customer with over 30,000 Windchill seats in use today across the enterprise. That deal is the largest Navigate transaction we’ve closed today. For Raytheon [ph] the key value drivers with the ability to create easy-to-use Navigate apps for a broad set of end users that may enable access to multiple enterprise information systems. We believe these value drivers will resonate across thousands of enterprise Windchill deployments in our customer base, creating a significant long-term opportunity to drive continued PLL [ph] growth. Lastly, in our solutions business, we saw some variability again in SLM as we’ve seen in the past with SLM bookings down year-over-year primarily due to a number of large deals in Q1 of 2016 when SLM posted a 50% growth rate. So to summarize our progress relative to bookings growth with a strong technology advantage and an exciting high growth market, our IoT growth plans are on track, and with continued improvements and focus in execution as well as the leverage of our new technologies, we are seeing continued progress in our core solutions business. Building on the strength shown throughout fiscal 2016, Q1 was the fourth consecutive quarter where we significantly exceeded our bookings growth targets. We hope to keep that going but naturally our guidance is a little more cautious. Let me turn now to our second top level initiative to drive shareholder value which is to further increase our operating margins. In Q1, our operating expenses were within our guidance range and despite subscription mix coming in well above guidance, we also delivered operating margin within our guidance range, a testament to the operational discipline you come to expect from PTC. Moving forward as you know the dollar has strengthened substantially since last October when we provided fiscal 2017 guidance. Infact, we estimate that FX changes will negatively impact revenue by $32 million for the full year. However, even in the face of these currency headwins for fiscal 2017, we expect to achieve the 17% to 18% operating margin target we provided to you last October based on the 65% subscription mix assumption. We are committed to staying on the long term margin expansion path we outlined for you last November and have adjusted our spending plans accordingly. Andy will take you through the guidance details and currency impacts later in the call. So turning now to our third key top level initiative which is our transition to our subscription model, the Q1 2017 mix of subscription bookings was again well ahead of our guidance even if we excluded the subscription megadeal. We saw a strong adoption in every segment, in every region and in both our direct and indirect channels. I’ll leave it to Andy to leverage further on how our subscription program is evolving to the next level later in the call. Before I can close, let me address the global macroeconomic backdrop. Recent PMI data does point to some potential modest improvements in North America and Europe; however it’s too early for us to say that this has translated into a change in buying behavior within our customer base. As of now we believe that our recent performance has been driven by improved execution and essentially mediocre macro environment. Our guidance assumes that this will be the environment we face going forward. To wrap up, here at PTC, we continue to focus on three levers to drive significant shareholder value, topline growth, property expansion and a subscription transition. On the growth front, our momentum in market, position in IoT highlights the tremendous opportunity in front of us and we are encouraged by another quarter of improved execution in our core solutions business. On the margin expansion front, financial discipline remains one of our cornerstones as we drive non-GAAP operating margin into the low 30s post transition. And on the subscription front, following exceptional performance in fiscal 2016 Q1 was another strong step towards transforming our business model. And with that, I’ll turn the call over to Andy.
Andrew Miller: Thanks, Jim and good afternoon everyone. Please note that I’ll be discussing non-GAAP results unless otherwise specified. Bookings of $90 million were $10 million above the high end of guidance provided last October. On a year-over-year basis, bookings increased 31% and 23% if you exclude Kepware. Subscription comprised 65% of total booking versus our guidance of 55% and would have been above guidance even excluding the subscription megadeal. Subscription ACD in the quarter was 29 million well ahead of our guidance of 19 to 22 million. Once again this quarter, the strong subscription results contributed to a significant increase in our total deferred revenue, build plus unbuilt which increased year-over-year by 248 million or 43% to 825 million as of the end of fiscal Q1 2017. Subscription adoption trends were consistent with Q4, 2016 where we saw a strong performance in every segment, every geography and in both our direct and indirect channel. IoT led the way with subscription mix in the high 70% range despite Kepware being virtually all perpetual at this time. In our solutions business, POM continued to outpace the other segments in the low 60% range and CAD was in the mid-50% range due in part to continued progress in our channel. In our direct business, subscription mix was 73% and in the channel, subscription increased 200 basis points sequentially to 43% led by the Americas where close to two thirds of the channel bookings were subscription. Regionally, the Americas, Europe and Japan far outpaced the Pac Rim where adoption trends continue to lag the other GS. Q1 subscription mix benefited from our support conversion program and the incremental ACV from conversions drove a portion of our bookings over performance. In the first quarter, 30 customers, including some very large customers, converted their support contracts to subscription at an ACV uplift that averaged 53% above the prior annual support amount. We believe that the conversion opportunity within our customer base is substantial and will play out over many years. However, you should expect quarterly variability as this program continues to ramp and mature. For conversions, I'll also remind you that one, we only include the incremental ACV in our bookings results, not the full contract value of the new subscription contract. And tow, our current long-term business model does not include any assumption that our large support revenue base transitions to subscription. So this represents upside to that model. Turning to the income statements, total first quarter revenue of $287 million was down $4 million year-over-year. We estimate that subscription mix negatively impacted total revenue by about $18 million compared to last year, and professional services decreased about $3 consistent with our strategy to migrate more service engagements to our partners. Adjusting for these items, revenue would have grown by about $20 million or 5%. Despite the fact that we had too fewer days in the quarter, which negatively impacts recurring revenue by about 220 basis points. Compared to our guidance, we estimate that adjusting for the higher mix of subscription; our total revenue would have been approximately $297 million, which would have been above the high end of our guidance of $290 million. In addition, currency negatively impacted reporting reported revenue by just over 3 million relative to the FX guidance we provided last October. On a reported basis, software revenue was down 1% year-over-year due to the higher subscription mix, adjusting for mix and currency, we estimate software revenue would have increased 6% year-over-year, despite the fact we had two fewer days in the quarter which impacted software revenue by about 190 basis points. Approximately 86% of Q1 software revenue was recurring up from 80% a year ago. Operating expense in the first quarter of 170 million was at the midpoint of our guidance range including about $1 million benefit from currency which offset higher commissions and bonuses from the over performance this quarter. Q1 operating margin at 15% was within our guidance range of 15% to 16% despite the higher mix of subscriptions due to strong bookings performance and cost discipline. We estimate that adjusting for the higher mix compared to our guidance, operating margin would have been 18% above the high end of our range. And adjusting for the year-over-year change in mix, operating margin would have been about 24%, a 300 basis point improvement over Q1 2016. EPS of $0.26 was at the midpoint of guidance. We would have beaten our high end guidance by $0.06 at our guidance mix with lower income taxes contributing a penny, offsetting a penny negative currency impact. Moving to the balance sheet, cash and investments were down $105 million from Q4 2016 as expected, driven primarily by the payment of fiscal 2016 bonus and year end commissions of about $64 million, debt repayment of $20 million, the first interest payment on the bond of $15 million, restructuring payments of $16 million and the foreign exchange impact on cash of $10 million. Now turning to guidance for fiscal 2017. Let me remind you of some of the general considerations we have factored in. First, while we are pleased with our bookings performance in Q1, we attribute our performance primarily to improved execution, our growth initiatives and our support conversion program, and remain cautious of the global macroeconomic environment. Second, while subscription results have been very strong in recent quarters, it remains challenging to forecast the pace of our transition and the resulting impact to near-term reported financial results. Third, our FX assumptions in our guidance now assumed dollar to euro at $1.05, and yen to dollar at ¥116. As Jim mentioned, I would like to provide some additional color on FX and its impact on our guidance. For the full year relative to our previous FX guidance, we estimate that currency will negatively impact bookings by approximately $12 million and total revenue by approximately $32 million. Due to the natural hedge afforded by our international spending base, cost of goods sold and operating expenses will benefit by approximately $70 million, resulting in an EPS of about $0.12. With this in mind, despite the FX headwinds for the full year fiscal 2017 we are maintaining our bookings guidance range of $400 million to $420 million. This represents 5% to 10% growth excluding the $20 million SLM megadeal we closed in Q4, 2016. In constant currency this represents 7% to 12% growth, an increase. From subscription perspective we continue to expect fiscal 2017 mix to be approximately 65% for the full year. As we discussed last quarter, we continue to analyse and explore the phasing out of perpetual licenses within certain geographies and product segments where penetration is running in the 80% to 90% plus range, and we will share more details in future. We remain confident that we can achieve our FY, 2018 subscription mix target of 85%. For fiscal 2017 we expect total revenue in the range of $1.17 billion to $1.18 billion, which represents 3% growth year-over-year at the midpoint and 4% growth in constant currency. This includes subscription revenue growth of approximately 120% and total recurring software revenue growth of 90% year-over-year at the midpoint. In constant currency this represents recurring software revenue growth of 11% after midpoint. We expect to increase our services margin by about a 100 basis points and remain committed to a 20% services margin by fiscal 2018. Fiscal 2017 operating expenses are now expected to be $670 million to $680 million, a decrease of $10 million from our previous guidance and a decrease of 1% year-over-year at the midpoint of guidance. Despite the significant negative FX impact on revenue relative to our previous guidance, we are maintaining our fiscal 2017 operating margin guidance at 17% to 18% representing a 200 to 300 basis point improvement over last year, reflecting our commitment to long-term margin expansion. On a mix adjusted basis we are targeting an operating margin improvement of about 100 basis points to about 28%. We are now assuming a tax rate of 8% to 10% for the full year, resulting in non-GAAP EPS of a $1.20 to a $1.30 per share based upon about 117 million shares outstanding, which is a decrease of just under $0.03 from our previous guidance at the midpoint. We estimate that FX relative to our previous guidance is a negative impact of $0.12 for the full year. So we are offsetting a good portion of the FX impact through improved performance on the topline and rigorous cost management. In addition, our guidance now includes about a $0.05 benefit from a lower tax rate and from a one time gain of $3.5 million from an investment we had made in a private company that was acquired this month. We continue to be expect adjusted free cash flow between $170 million and $180 million. Adjusted free cash excludes about $40 million of fiscal 2016 restructuring payments and the $3 million fiscal 2016 litigation settlement payment. For the second quarter, we expect bookings in the range of $80 to $90 million which at the midpoint of guidance represents a 1% decline year-over-year and 3% year-over-year growth on a constant currency basis. I will remind you that we had very strong bookings performance in Q2, 2016 where we exceeded the high end of guidance by $5 million creating a tough comparison for Q2, 2017 especially in our solutions business. On the subscription front, we expect 60% of bookings will be subscription with subscription ACV of 24 million to 27 million, an increase of approximately 9% at the midpoint of guidance. We expect total revenue in the range of $280 million to $285 million for Q2 including $64 million of subscription revenue, an increase of approximately 160% year-over-year. We expect OpEx in the range of $161million to $166 million and an operating margin of approximately 16% to 17%. We are assuming a tax rate of 8% to 10% resulting in non-cash EPS of $0.26 to $0.31 per share based upon approximately 117 million shares outstanding and including about a $0.03 benefit from the investment gain. Before we move to Q&A I want to update you on our stock repurchase plans. As a reminder returning capital shareholder is a fundamental element of our capital strategy and based on our current forecast we continue to attend to resume purchases in the second half of fiscal 2017 when cash and our borrowing capacity begin to return to more normal level after passing through the subscription troughs. With that, I’ll turn the call over to the operator to begin the Q&A. Operator?
Operator: Yes. Thank you. We will now begin question and answer session. [Operator Instructions] Our first question comes from Sterling Auty of JPMorgan.
James Heppelmann: Hello, Sterling, how you’re doing?
Andrew Miller: Hi, Sterling.
Sterling Auty: I’m good, I’m good. Thanks. Hi guys. Because everybody is going wonder is there any additional details you can give on the subscription megadeal whether it was new or expansion. What industry or any other color you can provide?
James Heppelmann: We don’t have a lot of detail Sterling, but you know it was a well known global industrial company who had expanded previous deployment. We don’t yet have their permission to disclose who and why. I hope we get and if we do we’ll talk about it at the upcoming webcast.
Sterling Auty: The other popular question I get is around the maintenance conversions that you mentioned that, it’s definitely helped in bookings. Is there way for us to quantify what the ultimate potential is in terms of contribution? And I think traditionally we think about your top 400 customers on the maintenance side and of course that being critical, you know where are we in the penetration of those and in terms of conversion?
Andrew Miller: So, a few highlights for you. So first off, the top 400, 500 represent probably just over 40% of our maintenance base and they are the ones that we’re targeting the most now but as in prior quarters we actually have a number of customers that are not in that cohort that are actually converting. And in fact this quarter with about half of them were not among those largest customers. And the average ACV increase was actually greater among those and they did it frantically to get the benefit of remix and re-stack and at the same time they bought some more software. So that was actually -- it is always – there is always been a part of them that been from that cohort but it increased this particular quarter. And that drove the overall ACV increase from what had been many quarters in the lower to mid 40% range as far as an increased ACV up to 53% this quarter. As far as the larger customers goal we’re about a quarter through the largest customers, but the thing to realize is we actually just engaged pricing consulting firm to help us, tax offers for other cohorts of our customer base frankly to come up with a conversion program that would address, frankly the entire installed base. So we think the entire base is an opportunity at different ACV uplift frankly depending upon kind of their current situation, what their current support rate is relevant to market et cetera. So we’re pretty optimistic about this, but it will be variable because frankly the timing of renewals varies quarter by quarter as you can imagine.
Sterling Auty: Great. And one last one, so I can slip it in. I just want to make sure, clarify and I understand the message.. It sounded like around the macro you have elements that maybe good point to things getting better, but you haven’t factor them into your guidance, but Jim I thought in your prepared right at the end I thought you said something like, but of course we’re being more cautious than our outlook. I just want to make sure that wasn’t something that was misspoke or that I miss interpreted? It sounded [Indiscernible] happening to the same.
James Heppelmann: No. Okay. I’m glad you ask the clarifying questions. What we’re saying is that particular since the election the PMI index has shown some interesting booking improvements particularly in U.S. and Europe, and historically we've had some relatively strong correlation to the PMI index. You know that’s said, it’s a forward-looking index based on emotion and we didn't see any of that emotions specifically contributing to orders in Q1. May be well in Q2, 3, 4, I don’t know. But we’re not baking on that. We’re essentially ignoring the PMI data until we can see in the rear-view mirror as opposed through the windshield. Now, what I said for your second comment is that we have significantly exceeded our bookings guidance for four quarters in a row, but that gives one the temptation to say, how great we are, but we are not going to try to be a hero. We’re going to stick to what we see in the pipeline, what we see in the forecast and not let what’s happened in the past, somehow color our future, our view of what is likely to happen this quarter or for the rest of the year. So I was basically saying just because we’ve exceeded significantly four quarters in row doesn't mean we well fifth, six or seven.
Sterling Auty: Maybe the right term is conservative rather than cost?
James Heppelmann: Yes.
Sterling Auty: Got it. Thanks guy. I appreciate it.
James Heppelmann: Thanks, Sterling.
Operator: Thank you. Our next question comes from Shateel Alam of Goldman Sachs.
Shateel Alam: Hi. Thanks for taking my question. Hey, guys. Andy first one for you on deferred revenue, that was down 2% year-over-year, down 9% quarter over quarter, I’m sure FX wasn’t impact, but you just quantify that and then on this quarter just explain what some of the dynamics are. I think going forward how do you see deferred revenue checking throughout the year, I know you sign maintenance deals in January and April, how does that help?
Andrew Miller: So, as we did in the fourth quarter, we’ve added new disclosure to our prepared remarks that’s on page seven, so I refer all of you to that. And essentially that where we show the unbilled deferred revenue and the billed deferred revenue, because there is variability in the billed deferred revenue frankly driven by the timing of billings and the timing of our quarter ends. So it’s specifically, let me give you a total deferred revenue actually went up, $248 million to $825 million, that’s a 43% increase. Now the billed deferred revenue on the balance sheet went down from Q4 from $414 million to $375 million. What happened was the year ago the quarter ended January 2nd and we build a lot of support and subscription on January 1st and 2nd which is – I mean that just been timing of that billing. So last year that was in the first quarter. This year the quarter ended December 31st so it wasn’t in the first quarter. Now with $64 million of billings we made on January 1st and 2nd. So that explains why the balance sheet deferred revenue fluctuated down, it actually would be up if the quarter ended two days later. So that’s why it’s important to look at both unbilled and billed. The other thing that I’ll highlight is the fact that because we did get a question offline, so I’ll make sure, I’ll answer it. That the increase in deferred revenue, that $248 million is not been driven by length of subscription contracts. Our subscription contracts are maximum of three years expect for the occasional exception and by the way the megadeal that we signed was a three-year contract. So, it is not being driven by length, it’s been driven by just increase subscription bookings. So great times everyway you look it at. Does that help?
Shateel Alam: Yes. That’s very helpful. Thank you. And I just had a follow-up on…
Andrew Miller: One more thing can I point out?
Shateel Alam: Sure.
Andrew Miller: That $64 million would have all been in current deferred revenue had the quarter ended two days later. So, because that was another question, someone email us, they want it to address. Okay.
Shateel Alam: Great. That’s helpful. And just a follow-up on IoT, I know you can specifically talk about those megadeals, but could you just maybe some color on the sale cycles around those megadeals? How long they take? Do you have any more megadeals assumed in your guidance for the year?
James Heppelmann: So, first of all, I think you know we are in a land and expand model here with our IoT revenue, and in fact we changed it to make the first phase of land and expand to be a premium based model. So in this case, this was – I’m trying to remember probably the fourth transaction we did with this customer as we went from a small one and to try it, a bigger one to roll it out little bit more broadly, another one they increase it and then this one to increase it significantly more. So, we’ve been talking this customer for couple of years as we move through those, lets say four different orders. And I think that’s the way you should expect it to be and that’s way every time we win somebody at the front of that land and expand process and get them engaged we’re pretty excited because we think we’re planting a seed that could bear some pretty significant fruit down the road just as this one did. That said, there are no there are no assumptions of any megadeals in IoT or otherwise in the balance of the year. We tend not to put them in any kind of guidance and quite frankly sometimes we don’t put in them in the forecast because we don't want to be operating with such wild swings either in what we’re telling each other or what we’re telling you.
Andrew Miller: Yes. The one thing I would add to that though is that a megadeals is anything over $5 million and so it would be possible that there would be deal that was just over $5 million that would been our guidance that’s maybe not in our guidance at the full $5 million, the deals can get smaller. We triangulate around the pipeline and all the deals in the guidance and what could happen and what could fallout from different ways. It’s very difficult to say what specifically was in or out given how we develop guidance.
Shateel Alam: Great. Thank you. Very helpful.
James Heppelmann: Thank you.
Operator: Thank you. Our next question comes from Saket Kalia of Barclays.
James Heppelmann: Hello, Saket.
Saket Kalia: Hey, guys, how are you. Thanks about for taking my questions here.
James Heppelmann: Sure.
Saket Kalia: So first just to you know not to harp on the large IoT deals but they are very interesting, so interesting you can’t talk about who they are and what they encompass. But maybe just more broadly is the pricing on these deals conceptually sort of similarly to what we’ve talked about in the past where pricing was based on the number of connected things and their associated chatting is? Or you sort of seeing the pricing structure for these IoT deals may be change based on metrics as maybe this become more common?
James Heppelmann: Well, Saket when we’re connecting things for purposes of monitoring them and servicing them better and so forth than we do tend to have a pricing model based on how many things and how chatty. When we do factory projects we tend to do it particularly if we end up getting in the multiple factory projects we tend to settled down to a per factory charge because it's just too darned difficult to inventory all the things in all the factories in a larger company. So this was the latter case and was a per factory price. There was actually a combination to be frank, but mostly at latter.
Saket Kalia: Got it, got it. And then, CAD strong double digits was great to see, can you just talk about anything that you think throw them in relative significantly stronger than the overall market growth. And can you remind us what CAD grew year-over-year of last quarter just for basis of comparison? Thanks.
James Heppelmann: I’ll get the first question, while you working on the second one. To me the great thing that happened in CAD is there our North American channel which had been for years kind of perennial weakness has really stepped up and that’s a trend, we’re sort of looking at four consecutive really strong channel growth quarters in North America. Our channel in Europe is very strong but our channel in North America had been comparatively weak, but made a lot of investments in program changes and even the personnel changes to back a few years and those persons drove the program changes and the channel North America has responded well. They've also done a good job adopting subscription, they quite like that program. So I think to me that’s the single biggest factor not only factor but the single biggest factor in what’s improving our CAD business.
Andrew Miller: Yes. Its funny, because if you look at the people running our channel, its made up of people whose career has been in running channel businesses, frankly in our competitors and they know how to do it and every year they've been methodically maturing our channel management practices. And now we got a good go to market play every quarter and there’s a marketing program for the channel that’s called action and that’s working out well. The win-back program is working out well. Also we have CAD customers have gone off maintenance and they have an opportunity to come back on – come back into the fray basically that go on subscription instead. And so we had another good quarter in the win-back program and that program we’re expecting to continue much this year as kind of the final chance to basically come back into maintenance or subscription and not have to buy a new seat that next time you want to upgrade.
James Heppelmann: And just I hit the, I think that’s maybe the first part of your question. This is the third consecutive quarter of double-digit CAD growth, CAD bookings growth and the fourth consecutive quarter of positive CAD bookings growth. And it kind of mirrors what I said about the channel improvement in North America, so I don't have analysis in front of me but I'm going to reasonably conclude here that the biggest factor is the improvements in channel performance in North America.
Saket Kalia: Very helpful. Thanks guys.
Operator: Thank you. Our next question comes from Steve Koenig of Wedbush. Your line is now open.
James Heppelmann: Hi, Steve.
Steve Koenig: Hi, there. Thanks for taking my questions. Let see, I wanted to ask you maybe a big picture question on IoT, Jim, maybe just generalizing a little bit, if you look at the traction you're getting an IoT and it looks to be increasing and accelerating. Can you give us some color or maybe just little more granularly by maybe break down little bit by use case and/or channel direct versus partner, and related to that how is the - how was the customer acquisition in the low touch sales model working out in that business too?
James Heppelmann: Yes. Well, I’ll say -- well let me ask you a specific question and give you some other big picture comments. So, on the channel, in generally we’ve been in a model where the PTC channel both direct and resellers were doing about the half the bookings and new channels that were brought on to support IoT distribution only were doing about third of the bookings. And then everybody else, then that kind of mean mostly ecommerce was doing the balance which would be sixth. Now the megadeal sway that though, so that’s roughly what it would like if the megadeal either didn't happen or was a normal-sized deal. So that's a good trend, you know again that third is coming from channels other than PTC and the sixth is coming from e-commerce, those are things we didn’t have a couple years ago. Now you said, what’s creating the momentum? The main thing that’s creating momentum is seeds that we planted one and two years ago coming back to buy more and doing substantially larger second and third transactions than they did the first time around. That let us to open the aperture and saying, well, if that’s the model then we should have even more seeds in our premium model would give us even broader exposure. Good example if the 1000 accounts not playing with our IoT plus augmented reality technology, that’s very, very interesting to get 1,000 companies playing with knowing that some of them will matriculate in the real and then increasingly larger customers down the road. So I think we had good traction. I just ran across a little anecdote this afternoon by accident. We put IoT class in Udemy, if you’re familiar with that, that’s the online education system. And just in the last little over two quarters we’ve had the more than 4000 people go through it and the reviews are phenomenal. I mean, I encourage all of you to go new to me and look at the thing IoT course and read the reviews. I mean, that’s 4,000 people who educated themselves in IoT with our technology and said wow this is a big concept and that’s a great and quite frankly that was a great course. I'm glad to see you introduced me and several of them say I need to learn more about this in the course that we do that online. So anyway, I think we’re very excited with the land and expand model is working. We’ve opened the aperture at the front end with the premium program. I don’t think that yet is influenced any of the success we say this quarter or last quarter, but we’re hoping that will keep the momentum going kind of as we move into may be back part of this year but for sure next year, the year after and so forth.
Steve Koenig: Fantastic. Well, Jim, that was a detailed answer, so I’m gong to end quiz early. Thanks.
James Heppelmann: All right, Steve. I’ll remember that for next time.
Operator: Thank you. Our next question comes from Ken Wong of Citi. Your line is now open.
Ken Wong: Hey, Jim. Hey, Andy.
James Heppelmann: Hi, Ken.
Ken Wong: Hey. So, I think we can all see how the strong dollar would keep you guys from bumping up full-year bookings, but why wouldn’t we see you guys raise that bookings mixed from 65% considering how strong you guys have started off the year and just given the channel uplift that we’ve seen early on?
Andrew Miller: Why didn’t we raise the booking mix? We’re early one quarter into the year and if you actually do the math on you know it’s – you know it would have been trivial increase what had happened just in the past. And we basically base our guidance on what’s in the pipeline which I think this is smart thing to do at this point.
James Heppelmann: Ken, I’m sure this is at least the fifth quarter in row, we’ve been ask that question. What this keep sticking to our guns here which is we’re going to forecast against the data we have in our system and you know if it turns out better then that’s fine, but we don’t want to start making it up. And for to raise the mix for the year would be the step on limps, start inventing numbers that aren’t supported by data. So, this is model work reasonable well for us I think we prefer to stick with it.
Ken Wong: Got it. Fair enough guys. And then Andy, in the past you guys have talked a little bit about just the uplift you guys are seeing with maintenance contract renewals, I think it was kind of in the 20-ish percent. Is that consistent with what you’re guys are still seeing now?
Andrew Miller: You mean the ones that decided not to convert. I’ll be honest I’ve not seen that analysis yet, so I don’t have answer for you on that. I know that, but operationally the business practices that if they don’t convert they have to basically go to support at. We’ve got a minimum, what do we called that? What does Tony call it?
James Heppelmann: The bridge or something that we call it...
Andrew Miller: There is like BSOE rate. Fundamentally there’s a support – there’s a standard policy what has to be which is that a significant uplift and its depends upon whether again it was a customer that was – if they were 20% below than the uplifts going to get them back up to that, up to that rate. I’ll be honest, I’ve not seen that analysis yet.
Ken Wong: Got you. Okay. No worries then. Okay. And I guess with that I’ll pass the baton.
Andrew Miller: Great. Thanks guys.
Operator: Our next question comes from Ken Talanian of Evercore ISI. Your line is now open.
Ken Talanian: Hi, guys. Thanks for taking the question. Just wanted to go back on the IoT business, again, you noted that you saw number of six-figure deals more than double in the quarter and I know you talked about some of the pricing on those IoT deals being on a per factory basis. But just looking at that, that expansion base, could you give us a sense for whether the drivers are more seat-oriented, more expansion to other product lines within the company or even more like asset base growth?
James Heppelmann: Yes. I think its probably three things, some of it is seat based, when we sell IoT along with say, Navigate to Raytheon, that anecdotal I gave you was probably seat based. If we sell at the factories, it tends to be factory based because there are so many assets of all different sizes, mixed mode there, very heterogeneous environment, and then when its more service based I’m a company who make things and it make expensive long-lived assets and there are out in the field at the customers site and I wish I could connect them back to me, so I could monitory my fleet of things, and service them better, monitor customer success and so forth that tends to be thing based, asset based. So to be frank it’s a combination of the three and that really, it depends on a use case how we’re going to price it. Obviously people they are managing a fleet, kind of want to price as per the fleet, how big is the fleet, how sophisticated are these assets, people who are buying it for users like with Navigate wanted do it per user and people who are implementing it across their factories say is too darn complicated inventory and figure out how chatty every assets in my factory would be because quite frankly I don’t make them, so could we just kind of arrive at a per factory price. And there maybe some negotiation in that depending upon sophistication of factories and so forth, but it's really all three at this point.
Ken Talanian: Okay. And just for a second question, you mentioned that you continue to see support contracts convert over to subscription. And if I look at fiscal 2016 results you actually saw a decline in support deferred, I believe they were around $34 million. Is there anyway we can use that as a proxy that take a look at what ACV, or the decline is relative to the ACV as a support conversions?
James Heppelmann: No. Because you got perpetual license revenue going down, so that’s not the right way to look at it. So, Andy you’re saying that, for perpetual seat we saw the less support we have, the more we convert the less support we have [Indiscernible] unwind all that.
Andrew Miller: Unwind the two, yes, sorry. It’s too hard to unwind the two.
Ken Talanian: Okay. All right. Great. Thank you.
James Heppelmann: Thanks Ken.
Operator: Thank you. Our next question comes from Matt Hedberg of RBC. Your line is now open.
Andrew Miller: Hi, Matt. Are you there?
James Heppelmann: Got to unmute your phone, Matt. Operator, go there to the next person.
Operator: Our next question comes from Jay Vleeschhouwer of Griffin. Your line is now open.
Jay Vleeschhouwer: Thanks, good evening. Jim, let me start with you on a technology or portfolio question then I’ll turn to Andy. So you spoken in the past of your view that or the equivalent of IoT and PLM. And more broadly, maybe ofcourse you had your overall close life cycle management strategy where you are integrating the cost being the various segments. The question is do you have examples you can share where customers are infact agreeing with you with regard to the equivalent of IoT and PLM and more broadly are you infact seeing multi segment deployments in new business where you are seeing the effects of the integrated segment strategy actually converting in terms of new business?
James Heppelmann: Okay. Let me see, ThingWorx really at some level is an orchestration engine that can pull data from things, it can pull data from systems, it can run analytics against that data, it can put that in some kind of a business process and then deliver it in real based user interfaces to people and web mobile and AR devices. So, the first thing as we have sold now a tremendous amount of ThingWorx in just four quarters to our PLM customers in this product called Navigate. So if you asked the question, how many of them are using Navigate to orchestrate data from things versus things and systems versus just systems, I’d say a lot of them have started with systems and are playing with things to bring data from products in the field back into engineering so they can get a better understanding of what going on. Now, it’s a powerful idea. You know we use it here at PTC, I mean we have started ThingWorx inside [Indiscernible] ThingWorx, these are our assets that are deployed largely on premise out in the field. Creo, Windchill and even ThingWorx because we want to be able to monitor how much success a ThingWorx customer is having with ThingWorx using ThingWorx. And that’s the basis for how we do customers test management now, because without that data you know we are kind of blind if we were SaaS we’d had it running in our data centers or in data centers that we control or monitor whatever, but when it’s on premise you don’t know anything. So this kind of data is pretty important, our engineering team uses it a lot you know decisions made about Creo which budged to prioritize and fix and so forth are all based on what do we see customers doing out in the field, what kind of problems are they running into, with what frequencies, using what configurations as a hardware and software. So it’s a big powerful idea, I think the idea of an orchestration engine to get data, to pull into PLM is proving to be a big idea. I mean, I think we are in double digit license revenue in the first four quarters. Again, how much of its coming from things that this point is probably a minority but everybody is you know pretty interested in that idea and quite frankly see as the value that we’ve achieved that using software they are familiar with and we can use that as a benchmark.
Jay Vleeschhouwer: Okay, for Andy just two things. One, how are you thinking now about the profitability or eventual profitability of the IoT business. When you look at your numbers in fiscal 2016 according to the 10-K on a direct cost basis, IoT for the year had 116% of revenue in cost but for the fourth quarter it was only 104% which suggest you are getting a lot closer, on that basis the profitability for the IoT business, so if you could comment on that? And then lastly, just following up with some of the earlier questions on deferred, when we think about your model expectations and guidance out from fiscal 2021 is it necessarily the case that deferred would be going up every year, I mean satisfied the upside from conversions and so forth, but as guided would your deferred necessarily go up every year through till 2021 and so forth?
Andrew Miller: Yes, so let me take the first question. So the profitability of IoT you know we basically think that as a software business exceeds that roughly $200 million in revenue, that’s really the point in time that assuming it’s still very high growth, that’s the point in time you tend to cross over into profitability. And we managed the business model that way and we’ll continue to manage it that way, pretty much the way frankly a VC [ph] or a small public software company would be managing their own business model. We do internally an estimated fully allocated P&L which of course has a lot of assumptions in it, but that’s how we really track the profitability of each of our businesses from our a portfolio of management perspective. For SEC reporting and the segment reporting, there’s a -- we don’t if something is like our sales force or much of our marketing spend goes across all segments, we don’t allocate that for SEC segment reporting, because it – we don’t want to put just an assumption out there, we basically follow the rules for how we do segment reporting. So it looks like we are approaching that profitability according to the segment reporting but ofcourse there is a lot of expenses that haven’t been allocated. Two, either IoT or Solutions, they are in an unallocated bucket.
Jay Vleeschhouwer: Okay, then the as a long term deferred question...
Andrew Miller: For the long term deferred question, yes, long term deferred should continue to increase frankly driven by new bookings every year which should far exceed any churn.
Jay Vleeschhouwer: Okay. Thanks Andy, thanks Jim.
James Heppelmann: Sarah, I think we just have time for just one more question before we run up against the hour.
Operator: Okay, thank you. One last question comes from Ed Maguire of CLSA. Your line is now open.
Ed Maguire: Hi, good afternoon. I was wondering if you could discuss whether your customers or you know the conversations with the customers regarding you know potential legislative changes regarding trade in the U.S. maybe changing some of that, the conversations you may be having or they are thinking about their own investment. I know that’s pretty broad but I just was interested in your initial take?
James Heppelmann: Yes, Ed, my initial take it probably uncertain. I mean promise, made a lot of promises; we’ll see which one she implements and which one she doesn’t in which timeframes and so forth. You know obviously we were dealing with a lot of global companies, most of them would like to see well lubricated trade, but it’s just very hard to see. So on one hand the PMI is up sharply in the U.S. suggesting these companies can’t be too concerned about trade, their optimism around things other than trade apparently surpasses their pessimism around trade, so I don’t know its very difficult for me to decode, I’m just going to stand back and i believe just watch it for a while and see what happens.
Ed Maguire: Okay. And one final question, since GE acquired ServiceMax, I know you guys had been working pretty closely with them on connect and field service, has there been, could you comment on any developments on that partnership, and whether the acquisitions of GE alters that or improves that in any way?
James Heppelmann: Yes, I think if you look at the scenario that we showed at the mines and machines event, that was using ThingWorx with Predix in a service scenario, and it was very similar to the demos that we have been doing with ServiceMax except quite frankly didn’t include ServiceMax because GE probably wasn’t ready there to show their guard [ph]. But I think, number one, PTC has a very good relationship with ServiceMax. We’ve had some success together and built some great relationships and I think that having ServiceMax accorded by GE reinforces a new dimension in our partnership with GE that we were working on anyway, which is hey let’s not just be partners in the factory and compete in the service way, why don’t we make thing works with Predix and then we could be partners across the waterfront in both factory and service scenarios. Now you add our friends and ServiceMax into that scenario and I think it’s just helpful. So you know I don’t think that deal just calls last week and we got some work to do but I think that kind of unbalance its net positive originally strong net positive for us and our relationship with GE.
Ed Maguire: Okay. Thank you.
James Heppelmann: Thanks Ed. Okay, Tim, do you want to...
Tim Fox: Yes so operator, while I just close out, I got a few programming notes before I hand it back to Jim. We will be hosting this IoT webcast as Jim mentioned on February 22 01:00 Eastern. We look forward to having you join us for this event. On the conference front, we’re going to be attending JPMorgan High Yield Conference on February 27th in Miami, then moving to the Morgan Stanley T&T Conference on March 2nd in San Francisco. In the meantime if you have any follow up questions post this call, please contact investor relations and with that, I’ll turn it over to Jim for some closing remarks.
James Heppelmann: Yes, I just want to thank everybody for joining again here spending your time with us today. You know I think when I look at the quarter, and across our three strategic missions of increasing growth rate, increasing profitability and switching to subscription this quarter really moved the ball forward on all of those initiatives. And as such, it’s another great win in the record book and we are pleased to deliver it and hope to talk to you again in 90 days if not sooner and hopefully we’ll have good news again for you. So thanks a lot, thanks for joining us.
Operator: That concludes today’s call. Thank you all for your participation. You may now disconnect.